Operator: Greetings. Welcome to the Fuel Tech First Quarter 2021 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. At this time, I will turn the conference over to Devin Sullivan, Senior Vice President, The Equity Group. Devin, you may begin.
Devin Sullivan: Thank you, Rod. Good morning, everyone and thank you for joining us today for Fuel Tech’s first quarter 2021 financial results conference call. Yesterday after the close, we issued our press release, a copy of which is available at the company’s website, www.ftek.com. Our speakers for today’s call will be Vince Arnone, President and Chief Executive Officer and Ellen Albrecht, the company’s Principal Financial Officer. After prepared remarks, we will open the call for questions from our analysts and investors. Before turning things over to Vince, I would like to remind everyone that matters discussed on this call, except for historical information are forward-looking statements as defined in Section 21E of the Securities Exchange Act of 1934 as amended, which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 and reflect Fuel Tech’s current expectations regarding future growth of results of operations, cash flows, performance and business prospects, opportunities as well as assumptions made by and information currently available to our company’s management. Fuel Tech has tried to identify forward-looking statements by using words such as anticipate, believe, plan, expect, estimate, intend, will and similar expressions, but these words are not the exclusive means of identifying forward-looking statements. These statements are based on information currently available to Fuel Tech and are subject to various risks, uncertainties and other factors, including, but not limited to those discussed in Fuel Tech’s Annual Report on Form 10-K in Item 1A under the caption Risk Factors and subsequent filings under the Securities Exchange Act of 1934 as amended, which could cause Fuel Tech’s actual growth, results of operations, financial conditions, cash flows performance and business prospects and opportunities to differ materially from those expressed in or implied by these statements. Fuel Tech undertakes no obligation to update such factors or to publicly announce the results of any forward-looking statements contained herein to reflect future events, developments or changed circumstances or for any other reason. Investors are cautioned that all forward-looking statements involve risks and uncertainties, including those detailed in the company’s filings with the SEC. With that said, I would now like to turn the call over to Vince Arnone, President and CEO of Fuel Tech. Vince please go ahead.
Vince Arnone: Thank you, Devin. Good morning. And I want to thank everyone for joining us on the call today. I remain very proud of what our team has accomplished during this past year of uncertainty and I am optimistic regarding our outlook for the remainder of 2021 and beyond as we continue on our path towards establishing a foundation for long-term and sustainable growth. With the financing that we completed in the fourth quarter of this year, we are in the best position in our recent history to find strategic solutions to return our base businesses to profitability, expedite the demonstration and further market discovery of our DGI Technology and to investigate other products and market opportunities. While we intend to capitalize on the flexibility that our strong cash position affords us, our immediate focus will be on expediently furthering the commercial development of our DGI Technology via necessary investments in human resources, equipment and third-party assistance, where necessary. Concurrently, we will be assessing the business landscape in detail for our APC and FUEL CHEM business segments to better enable us to focus on the markets and products that can lead to overall company profitability. Ellen will discuss our financial results in detail shortly. But I will provide a high level summary. Our first quarter of 2021 revenues rose 33% from the prior year driven by a nearly 60% increase in net sales for our FUEL CHEM business segment. FUEL CHEM benefited from new program installations that occurred in the fourth quarter of last year and an overall rise in demand for energy on a period over period basis in those regions of the country, where our technology is utilized. We are confident that our performance at FUEL CHEM in 2021 will exceed its 2020 performance. Offsetting the improvement in FUEL CHEM was continued sluggish performance at our APC business, where we are experiencing pandemic-driven project delays and cancellations that have resulted in a lack of new orders. We are hopeful that APC will be covered in conjunction with resumption of global economic activity in 2021, which in turn would allow us to capture opportunities associated with our current global sales pipeline of $40 million to $50 million. We narrowed our operating loss in the first quarter of 2021 to $1.2 million from $2.7 million in the first quarter of 2020. As a result of the full forgiveness of our PPP loan in the first quarter, we reported net income of approximately $400,000 or $0.01 per share compared to a net loss of $2.6 million or $0.10 per share in the first quarter of 2020. We ended the first quarter with $36.1 million in total cash following the closing of our financing in February of this year. We have no debt. And our financial condition is the strongest that it has been in several years. Although we still face a variety of challenges related to the pandemic and certain areas of our end markets remain unchanged, we are still optimistic for our company’s future. Our three distinct environmental remediation platforms are well-positioned to capture significant opportunities in the respective end markets as we emerge further from the effects of the pandemic, uncertainty list and when global economic activity fully resumes to normalized levels. We are very well capitalized with a lean operating structure that can be leveraged to allow us to produce breakeven operating results at an annual revenue range of $25 million to $30 million depending on project mix. As we rapidly approach the midyear point of 2021, I want to provide an overview of our operations and discuss the opportunities inherent in each. At our APC business, COVID-19 has continued to affect the timing of new business awards due in large part to its impact on industrial purchasing activity. Our greatest opportunities lie in industrial applications, led by our SCR and ULTRA technologies. We continue to be actively engaged with turbine suppliers, heat recovery steam generator manufacturers, rice engine suppliers, carbon black manufacturers, and municipal solid waste, biomethane and pulp and paper facilities. We are also monitoring activities at the state level where new environmental guidelines including compliance with the EPA cross state air pollution and regional haze rules may produce opportunities to install best available retrofit control technology on certain sources of emissions. As a company, we are watching the actions of the Biden administration very closely, especially with respect to nitrogen oxide emissions. The focus on climate change and greenhouse gas reduction may include options beyond traditional renewable energy from wind and solar. The interest in hydrogen as a fuel source option for utility industrial units is growing since there are no greenhouse gas emissions, but this option would increase NOx emissions require additional controls over time. The administration is addressing environmental justice by seeking to reduce the potential health impact of air pollutants, including NOx on people living closest to emission sources. This could result in changes to air permits and tighter regulations. Despite challenges, we do expect APC project award activity to improve during the remainder of 2021 from our recent experience and we would expect revenue to be moderately improved versus 2020. However, this will depend on the timing of contract award and required execution. We believe that the FUEL CHEM segment will continue to produce strong results during 2021 as we return to more normalized run-rates across our fleets and as we expect to see year-on-year incremental contributions from the installation of our TIFI, targeted in-furnace injection technology on three new domestic coal-fired units in the fourth quarter of last year. Upside to our FUEL CHEM results could come in the form of application opportunities inside the U.S., where the remaining fleets of coal-fired power generation boilers seeks to remain competitive in the regional markets via the utilization of lower costs, lower quality fuel. It is these scenarios that are likely to create these slagging and fouling issues that could necessitate the installation of our FUEL CHEM program. And we are working with an additional customer right now that is having difficulty burning a lower cost, lower quality fuel that they converted to at the end of last year in order to enhance their competitiveness and allow incremental dispatch. Internationally, our primary upside potential lies in providing our solution to address the emissions created by the burning of high sulfur fuel oil in Mexico. We are continuing to support our partner in Mexico as they engage with local officials to advance this solution. The current Mexican government is in favor of utilizing indigenous fuel sources for power generation to ensure that they can move towards becoming energy independent. And the power generation dilemma in Texas in the first quarter of this year further solidify their position that as a country, they don’t want to be dependent on external fuel sourcing power for generation, such as natural gas from the U.S. There is currently a glut of high sulfur fuel oil in Mexico as the international market for this product has been significantly reduced with the adoption of new International Maritime Organization restrictions, which prohibit the use of the fuel. Today, we know that high sulfur fuel oil is currently being burned at facilities in Mexico, without the necessary environmental controls and local communities are rendering complaints about the impact of severe pollution. We will continue to watch the development of this activity closely. However, we do believe that political pressure is building in favor of the implementation of our FUEL CHEM program at additional facilities in Mexico. After a slow start attributable to the pandemic, we are starting to realize momentum at our Dissolved Gas Infusion business. We are addressing multiple growth pathways, including the development of a large scale DGI delivery system, in-depth market assessment in research, and the pursuit of commercial opportunities that will likely take place in the second half of 2021 following two successful demonstrations of the technology, one in support of our licensor and the other in support of an internally generated opportunity. Regarding the completed demonstrations, the first was at a municipal wastewater treatment facility on the West Coast in support of our licensor and the second was at a new Fuel Tech customer in the pulp and paper business located in the Pacific Northwest. Additionally, we have just recently started a third demonstration at a different municipal wastewater treatment facility on the West Coast also in support of our licensor. While each demonstration opportunity addresses customer specific issues, the first demonstration at the municipal wastewater treatment facility on the West Coast was intended to provide supplemental oxygenation during a high waste volume period for the municipality. The municipality is located in a recreational area that receives an influx of visitors during the holiday period. And when this happens, the wastewater treatment plant does not have the capacity to treat the incremental waste and remain in compliance. During the demonstration, the DGI system was able to efficiently deliver supersaturated oxygen to improve the quality of the water to a level that was actually better than the prior year when the volume of wastewater treated was actually lower. The second demonstration was at a pulp and paper facility in the Pacific Northwest that is looking to increase their production capacity later this year. With this increase in capacity, the plant will need to treat 60% to 80% more wastewater with its current wastewater treatment plant. As it would be cost prohibitive and time consuming to expand the wastewater treatment plant, the customer desired to understand the capability of the DGI delivery system to augment the dissolved oxygen needs of their existing wastewater treatment plant. The demonstration proved to be successful based on customer feedback and supporting data analysis and we are now working with this customer to determine our next course of action. In addition to these demonstrations, we will continue to pursue additional opportunities, with a target of having a commercial system online and running before the end of this year. Regarding the development of a large scale DGI delivery system, we are moving forward with the investment in the design and fabrication of a higher capacity DGI equipment delivery system as we believe the increased capacity will be necessary to address the needs of the majority of our end markets. We are looking to complete this project in the third quarter. In closing, in 2021, the Fuel Tech team is guided by our focus on operational excellence, client service, innovation and financial improvement. I want to thank the Fuel Tech team for their continued hard work and dedication as their efforts, have allowed us to continue to execute against our plan and provide nothing, but the highest level of service to our customer base. I would also like to thank our shareholders, both old and new for their continued support, as we work to diligently enhance shareholder value through our various initiatives. With all of that said, I will now turn the discussion over to Ellen. Ellen, please go ahead.
Ellen Albrecht: Thank you, Vince and good morning everyone. We hope you have had the opportunity to review our first quarter results. Consolidated revenues during the quarter increased 33.2% to $5 million from $3.8 million in the last year’s first quarter, reflecting significantly higher revenues in our FUEL CHEM segment. This was offset by a decline of $290,000 in revenue for our APC segment. FUEL CHEM segment revenues rose $4.1 million from $2.6 million in the first quarter of 2020, primarily reflecting higher power demand, the addition of new accounts and recovery from the initial emergence of the COVID-19 pandemic, which impacted results in the prior year period. Offsetting this growth was a slight decline in revenue of our APC business, where we are continuing to experience pandemic-driven project delays and cancellations that have resulted in a lack of new orders. Consolidated gross margins for the first quarter, was 46.9% of revenues compared to 40.4% of revenues in Q1 of 2020, reflecting a higher concentration of the FUEL CHEM product line revenues. FUEL CHEM gross margin in the first quarter was 48% compared to 42.4% in last year’s first quarter as many accounts return to normalized run-rate. APC segment gross margin increased to 41.4% in the first quarter of 2021 from 36% in 2020 due primarily due to product and project mix. Consolidated APC segment backlog at March 31 was $5.2 million compared to $5.3 million at December 31, 2020. APC backlog at March 31 included $4.7 million of domestic backlog as compared to $4.9 million of domestic backlog as of December 31. We anticipate approximately $3 million of current consolidated backlog will be recognized in the next 12 months. APC backlog has trended downwards for the last several quarters as the sluggish overall sales environment was exasperated by deferred purchasing due to the uncertainties created by the COVID-19 pandemic. As mentioned in our press release, we are pursuing a global sales pipeline of approximately $40 million to $50 million. Our common theme for quite some time has been our success at controlling costs. To this end, SG&A expenses declined by 20.2% to $3.1 million from $3.9 million in the first quarter of 2020, reflecting lower employee administrative and professional service costs, including costs related to the previously announced closure of the company’s APC business in China. Research and development expenses for the first quarter were $415,000, a 28% increase from the prior year quarter of $324,000 as we focus efforts on further development and commercialization of our DGI Technology. For full year 2021, we expect SG&A expenses will range between $12 million and $12.5 million. However, we will flex our spending as appropriate to reflect any change in business, including new contract awards and investments or acquisitions as we can estimate following our capital raise earlier this year. Operating loss narrowed to $1.2 million from an operating loss of $2.7 million in last year’s first quarter. Other income in the first quarter of 2021 was $1.6 million, reflecting full forgiveness of the loan proceeds from the Paycheck Protection Program established pursuant to the CARES Act. Other income in last year’s first quarter reflected income related to AR collections in China. As a result of the loan forgiveness, net income was approximately $400,000 or $0.01 per share compared to a net loss of $2.6 million or $0.10 per share in the first quarter of 2020. Adjusted EBITDA loss was $0.9 million in Q1 of 2021 compared to an adjusted EBITDA loss of $2.2 million in the first quarter of 2020. With respect to China, we continue to focus on our collection efforts. And as of March 31, we are pursuing an estimated $1 million to $1.2 million of China receivables, the majority of which we expect to repatriate in 2021. Moving to the balance sheet, as of March 31, we had cash and cash equivalents of $35.7 million and our restricted cash balance had declined to $420,000. Working capital was $38.5 million or $1.40 per share, stockholders’ equity was $46.5 million or $1.68 per share and the company had no debt. These figures reflect the February financing in which we raised the total proceeds of – gross proceeds of $25.8 million. Cash used in operating activities for the first quarter of 2021 was $225,000 compared to $1.9 million in the first quarter of 2020. While we have seen a slight recovery from the global effects of the COVID-19 pandemic in our current financial results, we remain cautiously optimistic towards our business prospects and we will continue to focus on the successful execution and management of our operations. As Vince indicated, we are in the best financial condition we have experienced in recent years and we will direct our efforts towards leading the company to overall profitability. Now, I would like to turn the call back over to Vince.
Vince Arnone: Thanks very much, Ellen. Operator, we would now like to open the lines for any questions, please.
Operator: Sure. Thank you. [Operator Instructions] Thank you. And our first question is from the line of Sameer Joshi with H.C. Wainwright. Please proceed with your question.
Sameer Joshi: Good morning. Thanks for taking my questions.
Vince Arnone: Good morning, Sameer.
Sameer Joshi: How are you doing?
Vince Arnone: Good. And yourself?
Sameer Joshi: Not bad, not bad.
Vince Arnone: Good.
Sameer Joshi: So as far as the backlog, rather pipeline goes, it has remained the same since the last quarter results. Is that pipeline as of the end of the quarter or as of the earnings date?
Vince Arnone: Can you please restate the end of your question, Sameer? What was it? Was the pipeline as of the end of the quarter or as of current date, was that your question?
Sameer Joshi: Correct, yes.
Vince Arnone: It’s actually – to be honest, it’s actually a similar number. There hasn’t been a great variability in the dollar value of what we have rolling up on our pipeline, because we have seen many of the projects that are in our pipeline have some delay. And also many of the projects that we roll up in a pipeline cover a 1 to 2 or 1 to 3-year period of time as well. So, they wouldn’t necessarily change within the short period of time. But as we sit here today, it’s an active and viable pipeline both domestically and I am actually surprised at the level of activity we have coming out of the European marketplace right now.
Sameer Joshi: Understood. So does this – I understand that this is mostly APC? Is there any new TV installations that you maybe expecting and is that actual installation included in this pipeline?
Vince Arnone: Yes, the pipeline that we report upon is indeed only our pollution control. We don’t report a pipeline as it relates to any of the FUEL CHEM possible installations, because those are awfully difficult to predict in terms of when a customer might need our services. But as you know, as we have discussed, we were fortunate to add 3 additional units at the end of last year that are contributing nicely here in 2021. And as I noted, in my commentary, we are working with an additional customer that went through a fuel switch at the end of last year that called us because they are having difficulties burning this fuel, okay. So, we are working with them relative to data analysis at this point in time to see if we might be a good candidate to help them with their problems. And these usually take a handful of months to develop in terms of how long it takes before we would actually have a program in place for a customer. But the good news is that we do have upside opportunity and hopefully we will have additional upside opportunity along similar lines with other customers as well here in the future.
Sameer Joshi: Understood. So in that FUEL CHEM business, I think it was a nice recovery this quarter. Do you expect similar continued recovery? And then again in the September quarter, do you see this based on usage and a spike in the revenues from FUEL CHEM or what you already are seeing in this quarter?
Vince Arnone: I think that last year, for the full year, on the annualized basis, we were at around $14 million in total for FUEL CHEM for 2020 and obviously that was heavily impacted by COVID. The $4 million in Q1, I think just as a general range is fairly indicative, if you annualize that, probably not too far from where we would expect to be on a full year basis as we sit here today, somewhere in that, I’ll say $15.5 million to $17 million range, somewhere in that range.
Sameer Joshi: Understood. And then I think, sorry go ahead.
Vince Arnone: Sameer, that would not include any upside opportunities from new accounts that could come on anything that might happen down in Mexico either.
Sameer Joshi: Yes, there is upside to that. Got it. The other item I think we have discussed in the past is about the DGI scale up and opportunity. I think you mentioned in your prepared remarks that you might at least initiate 1 project before the end of 2021. Did I hear that correctly?
Vince Arnone: Correct. That is our goal, Sameer. We would love to be commercial on at least one application before the end of ‘21. And we, with the additional capital, we are going to utilize that very wisely. At DGI, we think is a very important technology and we are very high on that technology right now. So we are going to use some of our funds to invest in looking to push DGI forward as expediently as we can at this point in time.
Sameer Joshi: And in terms of scale or revenues, what should we be expecting meaning you have two pilots that are done and the third demo is going on? What are the prospective sizes in terms of dollars per year from these facilities if they materialize?
Vince Arnone: Yes, at this point in time, Sameer, I think it’s premature for me to be talking about revenue contributions from DGI. I would rather hold off on that for now until we obtain a little bit more market-specific information and have a little bit of commercial success. I also noted that we are going to use some third-party expertise to help us better digest the overall applicability of advanced aeration in a variety of different end markets. And so we are going to invest in a little bit of that scope of work as well. So, we will have more to report on quality, a range of possible projection as we move throughout this year and probably more likely towards the end of this year.
Sameer Joshi: Okay. And I think last question for me, I think Ellen gave some commentary SG&A going forward, but do you expect SG&A to increase as your activities across the businesses increases over the course of the year?
Vince Arnone: No, there is probably going to be a little bit of give and take in the number. I think what Ellen provided $12 million to $12.5 million is likely a solid number for this year. If we have incremental APC revenues, what happens is our engineering team becomes more utilized and we will have basically more of our SG&A human capital rolling into cost of sales. So that would be a reduction in overall SG&A. On the other hand, based upon the results of further DGI demonstration work and some of the studies that we are going to be doing, we may have impetus to invest in human capital, if you will, later this year. So, that would be again a slight increase, but later in the year, so full year impact, I still see us falling in that $12 million to $12.5 million range for 2021 and then we will see what our footprint looks like as we move into 2022.
Sameer Joshi: And can you confirm that $12 million to $12.5 million is a GAAP number or does it include – or does it exclude any non-cash items?
Ellen Albrecht: That is a GAAP number.
Sameer Joshi: Great. Okay. Thanks, Vince and good luck.
Vince Arnone: Thanks, Sameer.
Operator: Our next question is from the line of Pete Enderlin with MAZ Partners. Please proceed with your questions.
Pete Enderlin: Good morning, Vince and Ellen.
Vince Arnone: Hello, Pete.
Ellen Albrecht: Good morning.
Pete Enderlin: First question is on the pipeline of $40million to $50 million, is that mostly or can you break it out approximately between coal or natural gas type facilities?
Vince Arnone: I would – off the top of my head I will give you a ballpark, Pete. I’d say it’s probably closer to 70% to 75% natural gas and the remainder being coal, coal and other types of process industries.
Pete Enderlin: Okay, yes. And you made number of comments about the timing of awards being stretched out by the pandemic and cyclical effects and all that. When you talk to people that are part of this pipeline, do they specify new timetables? Do they say that they have been delayed by X amount of months or how easy is it to tell when they may actually come back and make a decision?
Vince Arnone: It definitely varies by application, Pete and it really depends on the specific situation with that end customer. I mean, we – just as an example, there is a customer we have been working with for probably a year’s timeframe now on some SCR related work and we were expecting this contract to go to bid last year – at the end of last year. It was pushed towards the call it late first quarter, early second quarter of this year and so we were expecting an RSU to come out for further work in the Aprilish timeframe. And we have just recently heard that now going to be pushed into mid-Q3. And so it varies by application. And it’s difficult for us to get our arms around just generally speaking, because we just need to ensure that we are – we track the pace of the award activity that we maintain relationship contact to the extent that we can to ensure that we are included in all of this activity as it does move forward. So, that’s what we do obviously to the best of our abilities, but sometimes we are given some specific timeframes. At other points in time, it’s a general statement whereby it’s delayed indefinitely. We will come back to you when the process will move forward. So it varies.
Pete Enderlin: I think the key takeaway from what you just said is that basically you do keep in touch that you are monitoring those individual situations as well as you can and sometimes it’s not that easy, but you generally have a pretty good idea of where they are in their individual processes?
Vince Arnone: Absolutely, so and that is applicable not just for APC, it’s applicable for our chemical technologies and now as it relates to DGI as well, because every…
Pete Enderlin: One more question on APC and that is from a long-term perspective that business is much smaller than it used to be. And so the question is how do you distinguish between cyclical effects such as the recession/pandemic and secular effects and where do you think we are in terms of the secular effect of a shift away from coal and in fossil fuels in general, you might say?
Vince Arnone: And Pete, that is actually an excellent question and it’s something that we internally look to address on a recurring basis with my leadership team and at board level as well. We know that there has been a secular change relative to the utilization of fossil fuels. And yes, over the past several years, we have seen a general decline in overall APC opportunities that would relate to fossil fuels. So, that’s a known fact and that is indeed continuing. As we sit here today, we, as a company believe that we are feeling the impact of COVID and not necessarily an additional impact related to the secular change, if you will, but the secular change is real and hence our drive to bring up another business line to generate revenues and profitability as quickly as we possibly can, because the timing with which we come to an ultimate end of the utilization of fossil fuels, it’s unknown, but it’s the pressures there. And it’s obvious and we see it day in day out.
Pete Enderlin: Okay, thank you. And then I have a question on FUEL CHEM, which is I think as I recall it’s basically a relatively small number of large utility installations. I forgot the number, but it’s surprisingly small. But each one is a pretty large revenue generator as we just saw from the three that you added in December. So, the question is, why would not that technology be more broadly applicable to most, if not all of the coal-fired utilities that are out there in the country?
Vince Arnone: Yes, we have talked about that a little bit time and time again over many, many years, just relative to the applicability of the FUEL CHEM technology. It’s not a fit – it’s not a fit for everyone. It’s designed to treat the inefficient burning of coal in boiler units that weren’t necessarily designed to burn specific types of coal and so not all units have that issue. Not all units are driven to fuller levels of capacity either at this point in time in the history of coal-fired burning utilities and typically, you only see the, call it the more devastating impact of slagging and fouling when these units are pushed at higher capacity levels and when they continue to run at higher capacity levels as opposed to scaling up and down on a recurring basis. Because if a unit is scaling up and down, what happens is as the inside of the boiler changes its temperature profile, some of the slagging actually cleans itself automatically through that temperature change. And so FUEL CHEM is a very unique technology application. And we have learned that over many, many years of looking to put it in the marketplaces. The near-term driver, the current driver is really those remaining coal-fired units that are looking to be dispatched at higher capacity levels and they are looking to burn fuels that are not necessarily kind to their boiler. And as a result, by trying to burn these fuels and running at higher capacities, they have difficulties. That’s where FUEL CHEM can help. It’s an isolated…
Pete Enderlin: That’s interesting. And sort of follow-up to that is, as of today, how many FUEL CHEM installations do you have versus the potential of the ones that you just mentioned that really could use it because of their specifically peculiar operating characteristics?
Vince Arnone: Yes. So the interesting point we talk about without the team on a regular basis, because I posed the question myself, why don’t we know a little bit more about what’s happening in marketplaces along those lines? Fuel switches, the fuel diet, fuel procurement by major utility is a confidential activity. We don’t know when that’s going to happen. And so it’s difficult for us to find out when those units are making those changes and that could have an impact. And coal contracts in general are becoming lower costs. So, some utilities that are running our coal-fired boiler are able to find some good quality coal at some pretty good prices as well. So Pete, it’s – I don’t have a direct answer to your question, because I can tell you right now if we were aware of more scenarios that could benefit our program, we would be all over them immediately.
Pete Enderlin: Okay, thank you. And one question on DGI, you said it’s really too early to talk about revenues per installation or whatever or certainly total revenue growth potential, but could you help us just understand a little better what the business model would look like in terms of say CapEx by the customer versus licensing or support revenues or supply revenues or whatever it maybe?
Vince Arnone: I think we are going to see multiple business models depending on the industry that we are selling into at this point in time, Pete. I think we are going to see some industries that are pleased with a more of an operating cost style business model whereby we would enter into longer term lease structures for the application. But then I think that we will also see capital project type of business model opportunities as well in other industries. So, I don’t think it’s going to be standard. And I think that we are going to as a company have the flexibility to adapt to the industry protocols, if you will.
Pete Enderlin: Well, but broadly speaking, it however has worked out in terms of CapEx or lease or whatever, do you think it’s going to be mostly an equipment sale or will there be a significant opportunity for recurring revenues all off FUEL CHEM?
Vince Arnone: Well, I – from a recurring revenue perspective, I think that, that would be – I consider that to be the leasing model for the equipment on a long-term basis. Okay…
Pete Enderlin: I mean, leasing is just another way of financing capital. What I am saying is what about supplies or support revenues, maintenance revenues and maybe licensing some software or something like that, just what you would really define as analogous to the FUEL CHEM recurring revenue stream?
Vince Arnone: Right. With FUEL CHEM, in addition to our – the program itself includes equipment, the chemical itself and an onsite maintenance component as well all rolled together as program. For DGI, we can envision that there could be a service/maintenance component to it, okay, depending on the level of manpower that is relevant for the industry application that is available at the site. From what we are seeing right now at least via the initial demonstrations that we have done is that onsite manpower for wastewater treatment plants at least at certain facilities is extremely limited in nature. So, we could see a maintenance component. But as we sit here right now, there really isn’t another deliverable that would go over and above with the delivery system itself.
Pete Enderlin: Okay, that’s very helpful. We will find out more about it.
Vince Arnone: You are welcome, Pete.
Pete Enderlin: Thanks a lot.
Ellen Albrecht: You are welcome.
Operator: Our next question is from the line of George Gaspar, Private Investor. Please proceed with your question.
George Gaspar: Yes. Thank you. Good morning everyone.
Vince Arnone: Hello, George.
George Gaspar: Hi, Vince. Just to dig a little bit further into a couple of different areas. First, I’d like to talk about the DGI. The initial testing that you did in California on the first project. It related certain results obviously and it didn’t look like it evolved into an additional major potential opportunity in terms of a placement of a system. Was it – did this have something to do with something else you had to do in the clarity of the water that you weren’t accomplishing initially or is it trying to determine how large a unit would be necessary to solve a particular problem in that area, where you were doing your testing, can you elaborate on some of this?
Vince Arnone: I can a little bit, George. So, the first demonstration that we did was out in California. This is at the recreational area that I mentioned. This was not a Fuel Tech demonstration this was our licensors demonstration, but the demonstration utilized our DGI delivery system. So, we have been partnering with our licensor to assist them as necessary to help them further their market applicability of the technology as well, which ultimately is going to benefit us, okay. So, this was a – it’s a municipality. It was a approximately a 6-week demonstration that we did during the Thanksgiving and Christmas holiday periods and they needed additional oxygen to treat the additional wastewater treatment requirements that were derived from having additional population in the area over the holidays. And the demonstration was indeed successful as communicated to us. However, the caveat here is as this is not Fuel Tech’s demonstration, the data that was actually generated by the municipality and there was another engineering firm involved with the demonstration with our licensor that data is not something that Fuel Tech has in hand, okay. So, as we sit here today, from what we saw, from being onsite from our communication with licensor, DGI did its job at their sites, okay and how that would turn into the commercial application for that particular municipality is something that will evolve over time, but did the DGI system delivered as designed. So, we were pleased to see that and our equipment functioned extraordinarily well. So, that was technically our first utilization of our delivery system at a customer location. So, it also provided us with the beginnings of a list of call it improvements and modifications that we are now looking to build into our, what I would call more of a commercial scale prototype that we are in the process putting that.
George Gaspar: Okay, alright. Well, that’s you are moving in a positive direction there. Just to elaborate on the DGI, when California, it looks like it’s in a full-fledged collapse as a state and with this, lot of people moving out and so on and they really need just kind of thing. They are just been absent staying with technology. But the point I am making here is that how about expanding your testing into like Florida. Florida is growing rapidly and is in desperate need of some – they have some serious water problems in the southern part of the state. And it would seem like some of what you are working on, it could be well utilized there, is there any chance of you to set something up in terms of with some kind of a connective opportunity for you to broaden your testing in the United States?
Vince Arnone: Yes. I think, George, I think that’s something that is going to evolve, but evolve sooner rather than later. As I had noted, we are going to do the necessary work to put a plan together regarding call it market segments of interest. Once we have a better understanding of that, we will then be able to go ahead and determine where we move, how we scale up for what applications, how we are going to approach specific customers, and why? And so, we are moving at a much faster pace with DGI right now over this past 3, 4 months than we have over the past 2 years. And having the additional capital in hand to enable this to move forward is a great benefit to us.
George Gaspar: Okay, alright. Well, hopefully that materializes for you. Just a question on the gas turbine power business, I know that you have been trying to enter further into that kind of pollution control side. And I am wondering how do you see that opportunity for you? It appears as though the United States is going to have to go for more gas turbine power and it looks like it’s got some real space to grow. Are you really working on that to try to capitalize more on the opportunity to supply control measures there?
Vince Arnone: Yes. I think we are well suited to meet those demands, George. We had our, call it our series of gas turbine project work in 2017-2019 in support of the data center out Northwest. We thought more work was going to be coming more expediently in follow-up to that just kind of overall basis, but we haven’t necessarily seen those opportunities come to the marketplace as of yet. But our ability to go ahead and put together a very well functioning system design for whether it be gas turbines, gas engines, diesel engines is an area that we are very confident in our capabilities. And when we see those opportunities come to market, we are going to be moving towards them aggressively.
George Gaspar: Yes. Okay, alright. And in closing, I compliment you on getting into the equity market for the additional equity that you accomplished over $5 a share and hopefully the people have bought the investment at that point find Fuel Tech more – obviously a lot more attractive at the current price level. So hopefully, if you can really start moving your accomplishments forward and broaden the technology that this should give the company an opportunity to see a big turnaround in the price of the stock? Thank you.
Vince Arnone: Yes, agreed, George. Thank you very much for your commentary. Appreciate it. And we’ll talk to you again soon.
George Gaspar: Right.
Operator: Thank you. At this time, we have reached the end of the question-and-answer session. And I will turn the call over to Vince Arnon for closing remarks.
Vince Arnone: Thank you, operator. I want to thank everyone for joining us on the call today. We, as a company, are on a path towards returning ourselves to growth and profitability. I hope that today we have defined at least some of the initiatives that we are working on to get there and we will continue to report on our progress as we move throughout the year. So, thanks again for your time and everyone have a good day.
Operator: This will conclude today’s conference. You may disconnect your lines at this time. Thank you for your participation.